Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q1 2017 Earnings Call. During this presentation, all participants will be in a listen-only mode. Afterwards, we'll conduct a question-and-answer session. As a reminder, today's call is being recorded, Tuesday May 2, 2017. Now, I'd like to turn the conference over to Nancy Christal, Senior VP of Investor Relations. Please go right ahead, ma'am.
Nancy R. Christal: Thank you, Tommy. Good morning, everyone, and thanks for joining us. I'm here this morning with Larry Merlo, President and CEO: and Dave Denton, Executive Vice President and CFO. Jon Roberts, Chief Operating Officer; and Helena Foulkes, President of CVS Pharmacy, are also with us today and will participate in the question-and-answer session following our prepared remarks. During the Q&A, please limit yourself to no more than one question with a quick follow-up, so we can provide more people with a chance to ask a question. Please note that we posted a slide presentation on our website before the call. It summarizes the information in our prepared remarks as well as some additional facts and figures regarding our operational performance and guidance. Later this afternoon, we'll be filing our Form 10-Q, and it will also be available on our website. During today's presentation, we'll make forward-looking statements within the meaning of the Federal Securities Laws. By their nature, all forward-looking statements involve risks and uncertainties. Actual results may differ materially from those contemplated by the forward-looking statements for a number of reasons as described in our SEC filings, including the Risk Factors section and cautionary statement disclosures in those filings. During this call, we'll use some non-GAAP financial measures when talking about our company's performance. In accordance with SEC regulations, you can find the reconciliations of these non-GAAP items to comparable GAAP measures on the Investor Relations portion of our website. And, as always, today's call is being simulcast on our website and it will be archived there following the call for one year. And now, I'll turn this over to Larry Merlo.
Larry J. Merlo: Well, thanks, Nancy. Good morning, everyone, and thanks for joining us to hear more about our first quarter results. Total company revenues increased 3%, slightly above the high end of our guidance. We delivered adjusted earnings per share of $1.17, a slight contraction versus a year ago, but $0.04 above the high end of our guidance range. We generated approximately $3.1 billion of free cash during the quarter, and we continued on our path of delivering significant value to our shareholders through both dividends and share repurchases. Now, while we're pleased with our financial performance versus our expectations, we won't be satisfied until the total enterprise returns to sustainable, healthy earnings growth. Now, given our Q1 performance and the fact that it is still early in the year, we are maintaining our full year adjusted EPS guidance range of $5.77 to $5.93, and Dave will review the details of both our results and guidance in his remarks. Before diving into the business review, I do want to touch on the continued role that CVS Health plays in making health care more affordable, more accessible and more effective. We are continuously innovating to offer solutions that lower cost for our clients and members, and these efforts are driving meaningful results. Our recently published 2016 Trend report highlighted our PBM's commercial book of business trend coming in at only 3.2% compared to an unmanaged trend of more than 11%. At the same time, our members saw their out of pocket costs decline by 3%. We effectively purchase generics through Red Oak Sourcing using our size, scale and expertise. And we encourage generic utilization to drive down costs, with generics now comprising about 87% of scripts filled across the enterprise. To more effectively manage the cost of the remaining scripts, we employ sophisticated formulary management tools to ensure that the right patient receives the right drug at the lowest possible cost. And we create plan designs that lower member out-of-pocket costs while managing health outcomes. For example, we offer our clients the option to adopt point-of-sale rebates, which enable their members to directly benefit from lower negotiated costs for branded drugs. We also offer a preventive drug list, where drugs for common, chronic conditions, such as diabetes and hypertension, are made available to members at a $0 co-pay, effectively at no cost. This encourages adherence, better health and, ultimately, lower overall health care costs. We're also working on innovative solutions for the uninsured. We brought to market a dramatically lower cost alternative to EpiPen. And we've now announced a program called Reduced Rx, its goal to offer dramatic discounts on certain drugs directly to patients. As an example, customers will be able to purchase a Novo insulin product for $25 per vial, a potential savings of as much as $100. So overall, our integrated model enables us to effectively address costs across the health care system, and not just through our PBM but also through our retail, specialty, MinuteClinic and long-term care capabilities. Now, let me turn to the business update, and I'll start with the PBM selling season. Since our last update, the expected revenue for 2017 has grown, with gross new business of $8.5 billion and net new business of $5.4 billion, and that's up about $1 billion from our last update. And the majority of this increase relates to our clients' Medicare add-on lives, which were still being reconciled at the time of our last call. We closed out the 17th selling season with a strong retention rate of 96.5%, and 2017 was another successful year in a string of strong selling seasons for CVS Caremark. Turning to the 2018 selling season, we're off to a solid start across both the commercial and health plan spaces. Our integrated products and services are resonating strongly and remain differentiated in the market, and we've already had some contract wins for 2018. Additionally, we were pleased to have been selected as one of two pharmacy partners by the Health Transformation Alliance. HTA is comprised of large, sophisticated employers, many in the Fortune 100 listing, and we see the potential for incremental multi-year growth opportunities as we work with these innovative companies. Of course, we were disappointed to learn of the loss of the FEP specialty contract. And, as we have stated previously, the loss of this specialty contract, which is expected to generate 2017 revenues of about $2.8 billion, is not expected to have a material impact on our 2018 operating profit. We continue to believe it's important to maintain our pricing discipline in the marketplace, which has served us very well over many years. And let me also remind you that we will continue to provide retail pharmacy and mail order pharmacy services to FEP's more than 5.4 million Federal employees, retirees, and their dependents, under separate agreements that run through 2018. And I would also note that our service and satisfaction metrics within the FEP business are at an all-time high. As far as renewals, we have about $23 billion up for renewal in 2018 and that's comparable with the previous year from a percent-of-business perspective. We've completed about 43% of our client renewals to-date, which is ahead of where we were last year at this time. Now, it's still early in the selling season. And at this point, the magnitude of bidding opportunities is actually flat to down versus the 2017 selling season. And consistent with our past practice, we will provide a more quantitative update on the 2018 selling season on our Q2 earnings call in August. Just this past week, we held our Client Forum. We had a record attendance of nearly 1,000 attendees. And the forum provides us an opportunity to update our clients on our latest innovations in products and services, while gaining important feedback on their evolving priorities. Our recently-announced Transform Diabetes Care program, which is a value-based clinical program to better manage diabetics, is a great example of our continued innovation and evolution towards outcomes-based care. This program was very well received by our clients, as it's very much aligned with their priorities of lowering overall health care costs. And we expect to roll out Transform Care programs for four additional disease states over the next 24 months. Consistent with recent years, clients want help in managing the fast-growing specialty costs, while, at the same time, driving improved patient outcomes. And our comprehensive set of specialty solutions helps them do just that. We continue to see client interest in adoption of our medical pharmacy and clinical care products. And these industry-leading capabilities have helped us achieve sustained above-market growth rates in our Specialty business. And in the first quarter, specialty revenues increased 10%. Now, moving onto the first quarter results in the retail Long Term Care business, total same-store sales decreased 4.7%, with pharmacy same-store sales down 4.7%, in line with our expectations. Pharmacy sales comps were negatively impacted by approximately 480 basis points due to recent generic introductions. Same-store prescription volumes declined 1.4%. That's on a 30-day equivalent basis. And it's expected the decisions to restrict CVS from participating in the TRICARE network beginning in December and many Prime networks beginning in January, negatively impacted Pharmacy sales and script comps. The network changes had about a 460 basis point negative impact on volumes, while the absence of leap day had about a 120 basis point negative impact on same-store prescription volumes. Now, if you adjust for both the network changes and leap day, same-store prescription volumes would have been about 580 basis points higher. And this would have increased script comps 4.4% in the quarter on a 30-day equivalent basis. Now, we're very focused on working with all payors to drive volumes and capture share as we look to 2018 and beyond. Our partnership with Optum to provide a 90-day retail solution to their ASO clients and members is progressing nicely. Our teams are currently working on the implementation of what we'll call the clinical wrap for the offering, which includes our Health Tag and ExtraCare Health Card. We're also in the process of co-creating materials that will support Optum's sales team in their go-to-market efforts, so we're making good progress in anticipation of the July 1 launch. At the same time, we're exploring other potential ways to partner with Optum to best leverage the joint capabilities of both companies, all with the goal of driving better health outcomes and reducing costs. We're also continuing the dialogue with other PBMs and health plans, offering a menu of services to partner more broadly, leveraging CVS Pharmacy's compelling value proposition, along with our enterprise capabilities, including those such as MinuteClinic services, Infusion and Long Term Care, so more to come on these potential partnerships. Let me touch briefly on the CVS Pharmacies in the Target stores. Putting the network changes aside, we're continuing to see improving script performance versus prior quarters. And the strength of our patient care programs and Maintenance Choice continues to drive performance. So the Target pharmacies are moving in the right direction. Turning to the front store business, comps decreased 4.9%, reflecting softer customer traffic related to a number of factors. 175 basis points of the comp decrease relates to the absence of leap day versus 2016 as well as the shift of Easter into the second quarter. Our comps also reflect our decision to rationalize our promotional strategies and, to a lesser degree, the network changes that reduced our script volumes and had some associated front store impact. Now, despite the decline in front store comps, front store gross margin once again improved nicely in the quarter versus last year, which speaks to the success we've had with our personalization and promotional strategies. We also remain focused on growing our Beauty, Health Care and Personal Care businesses, and these efforts involve a number of actions that include a new store design and enhanced customer experience. The new store formats offer an expanded assortment of healthier food, health-focused products and additional beauty offerings paired with discovery zones in key categories. And while the new store format is focused on 70 stores this year, we will continue to evolve as we test and learn in order to meet the needs of our customers. Recognizing the growing presence in the digital market, we've also been focused on enhancing our online and mobile capabilities to create an integrated health and pharmacy experience that only CVS can provide. Building on the strength of our digital tools within pharmacy, where 60% of our patients are using them, we're focused on defining the next generation of convenience for our customers. And these ideas range from our Curbside program to same-day delivery options as well as enhanced mobile functionality, to name a few. And finally, Store Brands remain an area of both strength and opportunity. Our Store Brands represented 22.8% of front store sales in the quarter. That's up about 85 basis points from a year ago. There are significant opportunities to expand the share of Store Brand products by building on core equities in health and beauty, while seeking growth in other areas where we can provide customers a good value proposition. So with that, let me turn it over to Dave for the financial review.
David M. Denton: Thank you, Larry. Good morning, everyone. This morning, I'll provide a detailed review of our 2017 first quarter results, followed by a brief update on our guidance. As I always do, first, I'll start with a summary of how we continue to enhance shareholder value through our strong capital allocation program. During the quarter, we paid approximately $516 million in dividends, after increasing the quarterly cash dividend by 18% for this year. Our 12-month trailing dividend payout ratio currently stands at 36.8%, but keep in mind that this ratio was artificially high, as it includes some expenses that are more temporary in nature, such as the loss on the early extinguishment of debt that we incurred LY, as well as the other items described in our non-GAAP reconciliations on our website. Nevertheless, we remain well on track to achieve our targeted payout ratio of 35% by the end of 2018. In addition, we have continued to repurchase our shares. In the first quarter, as part of our previously announced accelerated share repurchase program, we bought back approximately 36 million shares for about $3.6 billion. So between dividends and buybacks, we returned approximately $4.1 billion to shareholders in the first quarter alone. You should also note that the final receipt of shares from the ASR occurred in April, closing out the transactions a little earlier than anticipated. In total for the ASRs, we repurchased approximately 46 million shares at an average price of $78.74 per share. Looking forward to the remainder of the year, we have about $14.6 billion left in authorizations to repurchase shares, and we continue to expect to repurchase $5 billion for the full year. As a result, our expectation is that we will return more than $7 billion to our shareholders in 2017 through both a combination of dividends and share repurchases. As Larry mentioned, we generated $3.1 billion of free cash in the first quarter, which is unusually high, due, in large part, to the timing of receipt of a Medicare Part D payment. This was expected, given that April 1 fell on a weekend. We continue to expect to produce free cash of between $6 billion and $6.4 billion for the full year. Now, turning to the income statement, adjusted earnings per share came in at $1.17 per share, a decline of 1.4% over last year. Keep in mind that these results are on a comparable basis, and the reconciliation of GAAP to adjusted earnings per share can be found in the press release as well as on the Investor Relations portion of our website. Adjusted earnings per share came in $0.04 above the high end of our guidance range. Below-the-line items contributed roughly $0.02 to the over performance, while the remainder relates to our core business operations. Within operations, the Retail business over-delivered by about $0.03, due largely to timing factors, while the PBM came in within our expectations. Retail pharmacy margin benefited from several timing items that were anticipated to occur later in this year. Additionally, Retail operating expenses were lower than expected, as certain store-related costs shifted to later in the year. GAAP diluted EPS was $0.92 per share. So with that, let me provide more detail as I quickly walk down the P&L. On a consolidated basis, revenues in the first quarter increased 3% to more than $44.5 billion. In the PBM segment, net revenues increased 8.5% to $31.2 billion. Given the large amount of net new business, this growth was due to increased claims volumes in the pharmacy network as well as brand inflation and growth in specialty pharmacy. Partially offsetting the sales growth was an approximate 140 basis point increase in our generic dispensing rate to 87%. PBM adjusted claims increased 9.6% in the quarter. As we discussed during the February call, we improved our methodology for counting pharmacy network claims in order to keep script counts consistent across our operating segments, converting each 90-day claim into three 30-day claims to more appropriately account for the amount of product days supplied. We've been doing this within the Retail Long Term Care segment for several years and now have consistency across the enterprise. In our Retail Long Term Care business, revenues decreased 3.8% in the quarter to $19.3 billion. This was in line with our expectations and driven primarily by a decline in script volume due to the network changes that we discussed last year. During the quarter, GDR increased by approximately 180 basis points to 87.5%. We also saw a decline in front store revenues due to a softer customer traffic and our promotional decisions. As Larry mentioned, front store same-store sales were negatively affected by about 175 basis points from the absence of leap day as well as the shift of Easter into the second quarter of this year. Turning to gross profit, operating expenses, operating profit and the tax rate, the numbers I am citing are on a comparable basis and exclude the items noted on the slides. First, turning to gross margin, we reported 14.8% for the consolidated company in the quarter, a contraction of approximately 85 basis points compared to Q1 of 2016. This was consistent with our expectations and primarily driven by a mix shift, as the lower-margin PBM business is growing faster than the Retail Long Term Care segment. Total enterprise gross profit dollars decreased 2.5%. Within the PBM segment, gross margin declined approximately 30 basis points versus Q1 of 2016, to 3.5%, while gross profit dollars were relatively flat year-over-year, declining by only about $5 million. The decline in gross margin was primarily due to continued price compression and the changing mix of our business. Gross margin in the Retail Long Term Care segment was 29.4%, up 35 basis points. This improvement was driven by an increase in GDR as well as improvement in front store margin rate and dollars related to the continued rationalization of our promotional strategies and improved product mix. It was partially offset by continued pressure on reimbursement rates. Gross profit dollars decreased 2.7% in the quarter, mainly due to the loss of prescriptions. Total operating expenses as a percent of revenues remained relatively flat to Q1 of 2016 at 10.3%, improving 15 basis points. The PBM segment's SG&A rate improved approximately 10 basis points to 1%, thanks to improving efficiencies. SG&A as a percent of sales in the Retail Long Term Care segment deteriorated approximately 110 basis points to 20.9% as we lost leverage due to decline in net revenues from the loss of prescriptions. A portion of the increase in operating expense dollars year-over-year relates to the investments we are making in process improvements and technology enhancements as part of our enterprise streamlining initiative. During the quarter, among other projects, we continued to work on new tools and processes designed to improve service and labor productivity in our long-term care facilities. We closed 60 stores in the first quarter related to our store rationalization efforts and recorded a charge in our Retail Long Term Care segment of $199 million, which primarily represents the present value of the non-cancelable lease obligations for those stores. However, the charge was excluded from our comparable numbers that I just mentioned. We expect to see some benefit from the closing of these stores in 2017, which was anticipated in our guidance. As the majority of the 70 planned store closures have now occurred, we only expect minimal store closure costs during the remainder of this year. Within the Corporate segment, expenses were up approximately $14 million to $226 million, in line with our expectations. So as a result, operating margin for the total enterprise declined approximately 70 basis points in the quarter to 4.5%. Operating margin in the PBM declined approximately 20 basis points to 2.5%, while operating margin at Retail declined approximately 80 basis points to 8.4% on our adjusted basis. Operating profit in the PBM was relatively flat year-over-year, meeting the low end of expectations, driven by continued price compression. Operating profit in the Retail Long Term Care segment declined 11.9%, again on our adjusted basis. This exceeded our expectation, with the outperformance delivered by the timing items I discussed earlier. Going below the line on the consolidated income statement, net interest expense in the quarter decreased approximately $31 million from last year, as expected, to $252 million, due primarily to paying down debt in the prior year and an at lower average interest rate on a debt that remains outstanding. Our effective tax rate in the quarter was 37.7%. This was better than expected, due to our estimates on the discrete tax benefit from the adoption of a new share-based payment accounting guidance, which was described at Analyst Day and is disclosed in the 10-Q, which we will file later today. This accounting change will continue to impact the tax rate going forward and will fluctuate, perhaps significantly, based on the changes in our stock price. Our weighted-average share count was just over 1 billion shares, reflecting the first receipt of shares from the ASRs. So with that, now let me update you on our guidance. I'll focus on the highlights, but you can find the additional details in the slide presentation we posted on our website earlier this morning. I'll start with EPS. While the year is off to a very solid start, it's still early and we continue to expect 2017 to be a rebuilding year. With that in mind, we are confirming our 2017 adjusted earnings per share guidance range of $5.77 to $5.93 and GAAP diluted EPS from continuing operations in the range of $5.02 to $5.18. You can find a reconciliation of GAAP to adjusted EPS in our press release and on the Investor Relations portion of our website. Top line growth expectations have not changed, and the details are provided in our slides. Moving to operating profit, with one quarter behind us, we are narrowing the Retail Long Term Care segment's range. Retail operating profit is now expected to be down 7.75% to 9.5%, while consolidated operating profit is expected to be down 3% to 5.25%, narrowing the top end by 75 basis points in the Retail segment and 50 basis points for the enterprise. There are no changes in our expectations for the PBM and the Corporate segments. I should note here that we have retrospectively adopted a new accounting pronouncement and reclassed a small portion of our net benefit cost from operating expenses to other expenses, which has the effect of increasing operating profit in all periods by an immaterial amount. You can find the details of this adoption in our 10-Q that's filed later today. Now, let me provide guidance for the second quarter, which excludes certain non-GAAP items described in our slides. We expect adjusted earnings per share to be in the range of $1.29 to $1.33 per share in the quarter, reflecting a decline of 2.5% to up 1% versus Q2 of 2016, a sequential improvement. GAAP diluted EPS is expected to be in the range of $1.15 to $1.19 per share. Keep in mind there are several timing factors that affect the cadence of profit delivery throughout this year. The introduction and timing of break-open generics, the timing of profitability in our Medicare Part D business and the timing of benefits from our enterprise streamlining initiatives are all factors expected to have the greatest impact on cadence. And while we delivered a strong quarter versus our own expectations, the cadence of profit growth is still expected to be more back half-weighted. Within the Retail Long Term Care segment, we expect revenues to be down 2.5% to 4.25% versus the second quarter of last year, due, in large part, to the restricted network changes discussed previously. Adjusted script comps are expected to decrease in the range of 0.5% to 1.5%, while we expect total same-store sales to be down 3% to 4.75%. The Easter shift into Q2 is expected to have a positive impact on front store comp growth of approximately 75 basis points. In the PBM, we expect second quarter revenue growth of between 9% and 10.75%, driven by continued strong growth in volumes and specialty. Consolidated revenues are expected to grow 3.25% to 5%. We expect Retail Long Term Care operating profit to decrease 10.25% to 13.25% and PBM operating profit to increase 2.5% to 5.5% in the second quarter. Consolidated operating profit is expected to decline 6.5% to 9.5%. Now before closing, I've one piece of news today. Nancy Christal plans to retire later this summer, right about the time of her 22nd year anniversary with the company. We launched an internal and external search. And today, I'm extremely pleased to announce that Mike McGuire will be appointed Senior Vice President of Investor Relations. I'm sure many of you already know Mike very well. Currently VP of Investor Relations, Mike has been with the company for more than 20 years, working closely with Nancy for the past 15 years in areas of increasing responsibility. He has also had experience in strategic planning and capital management. His financial experience, his industry knowledge and deep understanding of our company made him an outstanding candidate to replace Nancy upon her retirement. So before turning it back over to Larry, let me just state that we remain confident in our full year outlook and our ability to return to sustainable, healthy earnings growth. And we continue to demonstrate our ability to generate substantial free cash flow. We have a proven track record of success in meeting long-term growth targets, generating significant free cash and optimizing capital allocation to drive shareholder value. And with that, I'll turn it back over to Larry.
Larry J. Merlo: Okay. Thanks, Dave. And you may recall back in November, we outlined a four-point plan to return to healthy growth, and I think today you heard us describe examples of the progress that's being made in each of those areas. And we're certainly focused on leveraging our enterprise capabilities and CVS Pharmacy's compelling value proposition to partner more broadly with other PBMs and health plans. Second, we're focusing on driving growth through new PBM product introductions that capitalize on the benefits inherent in our unique integrated model. Third, to continue to be a low-cost provider, we're working on a multi-year enterprise streamlining initiative that'll generate cumulative savings of $3 billion by 2021. And finally, we continue to be very thoughtful with respect to using our strong cash generation capabilities to return value to our shareholders. Before we go to the questions, I do want to personally thank Nancy for the terrific job she has done for many years now and congratulate her on her pending retirement, and also congratulate Mike McGuire on his well-deserved promotion. So with that, let's go ahead and open up the lines for your questions.
Operator: Certainly. Thank you very much. And we'll get to our first question on the line from Michael Cherny with UBS. Please go right ahead.
Larry J. Merlo: Good morning, Michael.
Michael Cherny: Hi. Good morning and thank you for all the detail so far. I know it's a little early to give exact details on the selling season, but given the volatility seen across the PBM market, could you talk about just also qualitatively how this selling season discussions have changed early on, what people care about in terms of whether it's transparency or network performance, restricted network, I guess, some of the other trends that versus previous years may be different, particularly given a lot of the noise across the market and that question, which I think you did a good job answering, of why the PBM continues to deliver value?
Larry J. Merlo: Yeah, Mike. It's Larry. I'll start and I think Jon'll jump in as well. Again, acknowledging that we just had our Client Forum last week, we had a great opportunity to meet with a very, very diverse group of our clients. I would say the dialogue hasn't changed dramatically from what we've seen the last couple of years. I think there continues to be a focus on cost. And obviously, we've got a great story to tell there in terms of the ways that we can deliver value. And, at the same time, your question on transparency, obviously, that had gotten increased dialogue. I would say that clients want the flexibility of plan designs to meet their diverse needs. When it shakes out, I think that we'll continue to see steady movement in adoption of some of the products and services that you've heard us talk about many times.
Jonathan C. Roberts: And Mike, this is Jon. So obviously, cost is very important, but it's not the most important. And the environment remains competitive but rational, so not really a change over the last several years. Clients, something very important to them is the service we provide to them as a client, but also the service we provide to their members. And that's a reason you can actually lose a client if you're not delivering good service. And our service levels are at an all-time high. And thirdly, they're more focused today, than I would say they were several years ago, around this ability to manage overall health care costs. And when we introduced our Transform Care diabetes program, that's really all about managing overall health care cost for diabetics. The response we got was very positive around this program. We also introduced a value-based network, which is going to be a skinnier network, but the network will be expected to perform around certain clinical outcomes around adherence, which clients know lower overall health care costs. So a lot of receptivity and focus around helping them manage their overall health care costs, not just their pharmacy benefit, which I think five years ago, was their primary focus. So this has been a gradual shift in the market over the last several years. And candidly, our assets and how we go-to-market and our ability to reach the consumer and change their behavior and lower overall health care costs, has had a lot to do with our success in the marketplace, and we continue to be very successful.
Michael Cherny: Great, thanks so much and congrats again to Nancy and Mike on your new roles; Nancy, your retirement.
Nancy R. Christal: Thanks.
Operator: Thank you very much. We'll get to our next question on the line from Ricky Goldwasser with Morgan Stanley. Go right ahead with your question.
Ricky R. Goldwasser: Yes, good morning and congrats on the quarter. Nancy, really enjoyed working with you, so best wishes for the retirement, and, Mike, congratulations for the new role. I have a follow-up question on the selling season. So first of all, Larry, you highlighted HTA in the prepared remarks. What is the key difference between HTA and other coalition businesses that you service?
Larry J. Merlo: Well, Ricky I think that with HTA, as we've talked, you've got several Fortune 100 companies, so you've got pretty sophisticated purchasers of health care in there. I would say that, in some respects, short-term, there's probably not a big difference between what HTA is focused on and what are other coalitions are focus on. I think that their short-term goal is to make sure that they're getting unit price right, like all buyers, okay. I think longer term, I think there's going to be a bigger focus in terms of how HTA can lower overall health care costs. And I think that we're in a great position to play a major role in providing solutions by leveraging our integrated assets to improve patient care. It really picks up on what Jon was just talking about. So I see it as a short-term, long-term opportunity.
Ricky R. Goldwasser: Okay. And Aetna, on their call this morning, talked about the fact that they're trying to look for ways to work closer with you. So how do you view the relationship with Aetna? What are the ways that you can work closer together? And with that respect also, when do you expect to unload all of the Coventry business? When is that going to be completed?
Larry J. Merlo: Well, Ricky, I'll take the first part, and then flip it over to Jon on Coventry. But, Ricky, I think we have a terrific relationship with Aetna. I think our teams have been working extremely well together, recognizing that for the first few years, the focus was all about integration and how do we do all the, I'll call it, the blocking and tackling work to create a common platform that can service the diverse clients that they have across their network. I would say for the last few years, now that we've got that in the rearview mirror, the focus has been how can we create value for Aetna, their members, and obviously for us in there. And I think that we've done some terrific things working together. I think as we go forward, you've heard us talk about how the patient of health care is now becoming a consumer of health care. And if I go back to Analyst Day, we had talked about when you look at all different customer touch points that we have with health care in mind, you can describe it as we have the front door to care and, at the same time, we're delivering the last mile of care. So I think the opportunity is not just in terms of what we can do across our pharmacies, but now you think about Infusion in the home, the role of MinuteClinic, now Long Term Care, I think that there are some exciting opportunities as we think about partnering more broadly. Jon, do you want to cover Coventry?
Ricky R. Goldwasser: And then on Coventry?
Jonathan C. Roberts: Yes. So, Ricky, Coventry will be moved by the end of this year. So we've been moving it over the last several years. We're almost complete with that effort.
Ricky R. Goldwasser: Okay. Thank you.
Operator: Thank you very much. We'll get to our next question on the line from the line of Scott Mushkin with Wolfe Research. Please go right ahead with your question.
Scott A. Mushkin: Hey, guys. Thanks for taking my question. And, Nancy, I'm not sure I'm going to survive without you, but picking Mike was an outstanding pick, so I'm excited that he got the job, too. So it's great news.
Nancy R. Christal: Thanks, Scott.
Scott A. Mushkin: I have two questions, and I guess the first one's more short- term oriented. Why the slightly worse outlook for Retail?
David M. Denton: Yeah. This is Dave, Scott. I think what you're seeing here is probably if you look at our guidance range for Retail, it was probably abnormally high. We've now, I'll say, narrowed that range. And I think it was more of us looking at the future and saying, what would it take us to get to the top end of that range, more than I'll say a disappointment from an outlook perspective. So think about it as narrowing the range and not seeing, at this point in time in the market, a catalyst to get us to the top of that range.
Larry J. Merlo: And, Scott, when Dave's talking about range being higher, he's really referring to the guardrails associated with that range. The width of that was broader than it had been historically, simply because of all the change dynamics going on.
Scott A. Mushkin: Okay. And my second question is more strategic as we think about 2018 and beyond, and I thought it was interesting in the release you said you won't be satisfied until you return to growth. I think, Larry, you said that. I guess my question in 2018, what do you think like the two or three levers are to get you to return to the growth, outside of M&A, like internally in your business, as you think about it as we look at 2018 and 2019, to reinvigorate growth? And then I'll yield. Thanks.
David M. Denton: Scott, this is Dave. There's probably not one thing to that. I would say that obviously we have to continue to execute on the plan that Larry articulated around plugging into payors in more meaningful ways to drive value for them, but also move dispensing volume into one of our channels. That'll be key to us as we think about growth over time. We continue to need to execute from a selling season perspective to gain lives within our PBM business, but importantly convert those lives, again, by selling in our integrated products to, again, drive value for those clients and move share into one of our dispensing channels. And we're continuing to focus on the cost side as we think about the things that we need to do to be more productive, both in the PBM business and in the Retail business and the Long Term Care business. We're making investments this year that will deliver for us over the next many years significant savings to drive performance. So all of those collectively need to work together to drive our performance in 2018 and beyond. And don't underestimate the importance of bolt-on acquisitions. Those are part of our targets. We continue to look for ways in which we can supplement our business to drive synergies for our business and expand our scope of services through the enterprise. So I think all of those will be important as we think about 2018.
Scott A. Mushkin: That's great. Thanks, guys. Good answer.
David M. Denton: Take care.
Operator: Thank you. And we'll get to our next question on the line from Lisa Gill of JPMorgan. Please go right ahead.
Lisa Gill: Thank you. And, Nancy, I will definitely miss working with you. I wish you the very best in your retirement. I hope you enjoy it and, Mike, congratulations. But, Larry, let me just follow on to the last question, and as we think about the bolt-on acquisitions and other strategic things that you could do in the marketplace, you talk about managing overall health care costs. I know I've asked this before, but do you think about owning a health plan? Is that something that you think would fit within the core assets of what you're trying to deliver from a health care perspective?
Larry J. Merlo: Well Lisa, I think some of this, it does go back to the last couple questions, and if you look over the last couple of years, we have certainly broadened the base of services that we provide. That has enabled us to touch more of the health care spend, creating value for respective stakeholders. And, as I just mentioned a minute ago, we've been talking about this retailization of health care, where patients are becoming consumers. And we've got some very, very important assets. As that continues to gain traction, when you think about all the different consumer touch points that we have and all the different ways we engage with those consumers, whether it's on the front-end or delivering directly the care. So, listen, we're always looking for additional ways to capitalize on that. And that's the work that we do and we remain open to those thoughts and opportunities as they come up.
Lisa Gill: And as we think about the store, you talked about MinuteClinic Infusion, bringing that to Long Term Care, and I understand the bridge of all of those things. What are some of the other things that you think you could bring into your store to continue to drive the health care offering? I mean, do you think about things like vision or hearing or other services like that?
Larry J. Merlo: Yeah, Lisa, I think you'll recall that we've talked about some of the pilots that we currently have underway, okay, with both vision and audiology. I think we're certainly continuing to focus in terms of the role that MinuteClinic plays and how we can broaden the scope of services that we provide, again, with quality as a key attribute. I think we're pretty excited with the opportunity that's been created with the Veterans Administration. I think that is very unique, recognizing some of the challenges that exist in terms of veterans getting timely access to care. And the pilot program that was kicked off last year in Northern California was successful. And as you may have seen two weeks ago, it's been expanded now to the Arizona market. And I think there's optimism that we can expand it even more broadly across that. So I think, again, it's something that continues to be a focus, and more to come.
David M. Denton: Hey, Lisa, this is Dave. I also think probably the biggest opportunity we have in the short term is you think about, I'll say, care management and think about care management from a pharmacy perspective, a patient is in our pharmacy typically several times a month. Certainly, patients with greatest needs are in several times a month. We've built an infrastructure within our pharmacies that come to life through our engagement tools at the counter that enable us to really intervene with that patient and coordinate their care across spectrums of health care, much broader than just pharmacy. And some of our health plans are beginning to tap into that capability, but I think if you look to the future, you could see that expanding pretty dramatically for us to even be more impactful as we think about how that patient manages their total health care.
Larry J. Merlo: And, Lisa, if you just think...
Lisa Gill: And do you envision getting paid for that? I'm sorry. Just before, Larry, before you continue, do you envision getting paid for that service or is this just more of how we get paid is we're going to have more scripts through the CVS store?
David M. Denton: I think it's a little bit of both, Lisa, but I do think as you think about it, think about if you narrow the network, getting more patients into our channel, we can deliver better outcomes and bend the cost curve even more dramatically. So I think you're going to see a combination of share capture, from that perspective, but also there's probably some revenue stream tied to it as well
Larry J. Merlo: And Lisa, some of this goes back to the notion, and you've heard us allude to this in the past, that as you think about a future network, pharmacy network, it won't simply be defined by price. It'll be defined by capabilities through a clinical lens, as Dave outlined. And if you think about, we mentioned Transform Care in our prepared remarks. And the first disease state focuses on diabetes. And you think about the fact that that diabetic patient visits their doctor four times over the course of a year, but they visit the pharmacy more than 30 times. So the opportunity to engage in a differentiated way speaks exactly to what Dave was talking about.
Lisa Gill: Okay, great, very helpful. Thank you.
Larry J. Merlo: Thanks, Lisa.
Operator: Thank you. And we'll get to our next question on the line from David Larsen with Leerink. Please go right ahead.
David M. Larsen: Hi. Congratulations on a good quarter. Can you talk a bit more about the Transform Care program and your value-based clinical programs? Are you working with the manufacturers and like allowing them to bear some financial risk with some programs? And are you working with other retail chains beyond like the CVS stores to engage in some sort of risk-bearing programs with them? Thanks.
Jonathan C. Roberts: Yeah, Dave, this is Jon. So Transform Care, as we talked about, is focused on diabetes. We have for other disease states that'll roll out over the next 24 months. And that program starts by moving their members into one of our channels, so either retail or mail. And that way, we get to apply all of the programs that we have, from connected glucometers to coaching by nurses, free MinuteClinic visits. We put guarantees around the trend. So we will be engaging with pharma around value-based contracts, and diabetes is a good example. We haven't announced those yet, but there are certain drugs in that category, as an example, that may be effective on their own, but sometimes you have to add a second drug. And if you add a second drug, we would get a reduced cost, as an example. So we do believe there's a real opportunity to bring pharma into the fold as we roll-out these programs. And then, as Larry mentioned, we actually launched at our Client Forum last week, a value-based network for the commercial space. And this will be working with other retailers around other programs beyond diabetes, where they will have certain clinical goals that they'll have to execute on, and their reimbursement will partly be tied to their ability to deliver. And that'll be a smaller network, say, in the 30,000 to 40,000 store range, so those retailers will get more volume into their channels. The clients get an actual unit cost savings because they're moving into a smaller channel, and then they get overall health care-lowering programs based on the clinical results that these stores deliver. So it is a comprehensive program. Some of it will be focused exclusively in our channels for very high cost, fragile patients, like diabetics. Other programs will be in value-based networks, so it'll be smaller than the broader networks. And we believe this is where the market is going. And based on feedback we had from our clients last week, they are aligned with the direction we're moving in.
David M. Larsen: That's great. And then Jon, I think you were recently promoted to the COO role, which I think means that you now have Retail reporting to you as well. Is that true? And then, what are you sort of most interested in doing with regards to the Retail business and the strategy; any general thoughts on how that strategy might evolve, from your perspective? Thanks.
Jonathan C. Roberts: Yeah, Dave, so, yes, I now do have responsibility for Retail and really all the operating units within CVS Health. And the purpose of this role is to bring innovation to the market faster. That is really going to be my focus. And by having these business units actually work more closely together and more coordinated, we think we'll be able to bring innovation to the market much faster than we previously have.
David M. Larsen: Okay, great. Thanks.
Operator: Thank you very much. And we'll get to our next question on the line from Robert Jones with Goldman Sachs. Please go right ahead.
Robert Patrick Jones: Thanks for the questions, and let me also offer my congratulations to Nancy on the retirement and Mike on the new role. I guess just looking at the decrease in scripts that you guys called out from TRICARE and Prime specifically, sounds like you're saying that it had about a negative $14 million claim impact in the quarter. I'm just curious if you could talk about how that's trending relative to the full year expectations that you guys shared with us back at Analyst Day, if you've seen any changes in the marketplace that were kind of outside of what you had anticipated around those two situations.
David M. Denton: Yeah, I don't think we've seen anything dramatically change from our expectations as we think about that. You can't really look at it quarter-by-quarter because you do have some seasonality in there. I do think it's important, if you look at our delivery in Q1 from a script perspective, we were kind of right within the middle of our range. So in totality, our script unit growth has been pretty consistent with our expectation. And if you further fast-forward that through the balance of the year, our expectation for script growth has not changed in any material fashion.
Robert Patrick Jones: Great. I guess just a quick follow-up on the Aetna relationship, it does sound like they're putting out there that they are looking to evaluate all options with you. So I guess, in your mind, you touched on this a little bit, what could that look like? And I guess the more important question that I'd have is there anything specific within your current Aetna contract that would restrict you from taking on other large health plans?
David M. Denton: Maybe I'll hit that one first, and then I'll turn it over to Larry. Obviously, today, we service probably a little over 70 health plans today, many of them in a pretty deep relationship. So there's really nothing that would preclude us from driving value with others in the marketplace from a health plan perspective.
Larry J. Merlo: Yeah. And, Bob, I think the first question, I think it goes back to the theme that you heard Jon talk about. I talked about it earlier, deeper integration around the clinical opportunities or clinical products, services that can be provided across our breadth of assets. And I think you heard some examples of that today, and I think there is a lot of white space there that we can work together on.
Robert Patrick Jones: Got it. Okay. Thanks, Larry. Thanks, Dave.
David M. Denton: Thanks, Bob.
Larry J. Merlo: See you.
Operator: Thank you very much. And we'll get to our next question on the line from Charles Rhyee with Cowen & Company. Please go right ahead.
Charles Rhyee: Yeah. Thanks for taking the questions. And congratulations to Mike and good luck with everything, Nancy, good working with you. My question was going back to Transform Care, and just quickly on the diabetes program, can you talk about what has the uptake been, how it's being packaged in the offering in the current selling season and what kind of guarantees are you giving in terms of managing trend? What are the metrics that you're looking at? Thanks.
Jonathan C. Roberts: Yeah. Charles, this is Jon. So we've got a couple clients that are in pilot now, and we're signing clients up for January 1, 2018. Still early in that process, so we'll have more to say about that later this year, but I would say, again, clients seem very aligned to this concept. And they're thinking about these diabetics very similar to how they're thinking about specialty. So specialty, most of these clients move those members into our channels because they need a higher level of care. Well, now we're extending that to diabetes and to other disease states. And we're guaranteeing a drug trend and that's client-specific based on their mix and utilization, so we actually have to do a specific underwriting for each of those. So there's a unit cost benefit to the clients as well as the ability to lower overall health care costs that we think can be a significant savings for them. So we're very bullish on this program and excited to be launching it.
Charles Rhyee: You talked about providing other services around that in terms of coaching, et cetera, to keep members compliant, adherent to therapy. Can you talk about what kind of technology assets you're using to help drive that as well?
Jonathan C. Roberts: Yeah. So an example is we'll be giving members a connected glucometer. And as they test their blood sugar each day, it goes up into the cloud and is monitored by our teams. And when we see somebody off track, there's an intervention with them with a nurse to talk about what they need to do to get their blood sugar back under control and back on track. These coaches will also work with them on things around diet and making sure they're following up and having the right tests around eye tests and foot tests. We'll be able to offer those services as part of this program for free in MinuteClinic. And so all this information will be collected and monitored. And we think we'll have a very much higher reach rate than you see in a typical disease management program. So all of this is now being implemented in the pilots that we have up, and we think the results are going to be pretty compelling.
Charles Rhyee: Is that a third-party device or is that something self-developed?
Jonathan C. Roberts: Yeah. We'll be working with a third-party on that.
Charles Rhyee: Okay, great. Thanks a lot.
Operator: Thank you very much. And we'll get to our next question on the line from Steven Valiquette of Bank of America Merrill Lynch. Please go right ahead.
Steven J. Valiquette: All right. Thanks. Good morning, Larry and Dave. Let me offer my congrats to Nancy and Mike as well. Hey, Nancy, I think we've spoken for just about all of those 22 years, so I'm clearly doing something wrong if I'm not retiring yet, but that's just...
Larry J. Merlo: Steve, you don't know how she's put up with us for 22 years.
Steven J. Valiquette: Just a question on Anthem. I know there's obviously not too much you can really say at this stage in relation to the Anthem RFP, but just at a high level, I think the investment community is assuming that this is an opportunity that would likely be attractive to you. So I'm hoping you can at least confirm that, if that is the case. And then just further, my belief is that you guys would have no capacity issues or conflicts taking on this business, but some investors still seem to keep asking us about whether any of your existing managed care relationships would make it maybe more difficult for you to take on Anthem. So I'm hoping you could maybe just clear the air on that subject a little bit as well. Thanks.
Larry J. Merlo: Yeah, Steve, it's Larry, and I think Dave alluded to this earlier that there is nothing that precludes us, either contractually or capability-wise, from adding to our business portfolio. And we've grown our health plan business quite nicely over the last couple of years. And we've now got more than 70 health plan clients that I think that we can work with each one in a very unique and differentiated way to satisfy their goals and objectives. And we have a guiding principle that as we work with them to make them more competitive in the marketplace, as they grow, we grow. And I think that speaks a lot to the investments that we've made, especially on the PBM side of the business, that we brought on billions of dollars of new business over the last three, four, five years. And our welcome seasons have only gotten better each year as a result of the investments and the capabilities and, quite frankly, the talent that resides within the organization and the learnings that we get from each year that makes next year better. So, listen, we look forward to continuing to grow the business.
Jonathan C. Roberts: The other thing I would add is that there's been a lot written about the disruption that happens when you move business, and the industry has evolved a lot over the last four or five years. We now have automation, so a lot of these new clients are implemented in an automated way. And then, our testing platform now employs artificial intelligence, where we crawl through the claims and look for anything that's unusual. And so that has resulted in what I think have been very successful welcome seasons over the last several years. So we're very confident in our ability to implement new business, large and small.
Steven J. Valiquette: Okay. That's great. Thanks.
Larry J. Merlo: Thanks, Steve.
Operator: Thank you very much. We'll get to our next question on the line from Alvin Concepcion from Citi. Please go right ahead.
Alvin Caezar Concepcion: Thanks for taking my question and, Nancy, Mike, congratulations to you both. It's been a pleasure working with you, Nancy.
Nancy R. Christal: Thank you, Alvin.
Alvin Caezar Concepcion: Just a follow-up on that question, just broadly, your strategy on acquiring large books of business on the PBM side, would you ever make exception and pursue a deal as a loss leader or if not at least significantly below your typical EBITDA for script metrics?
David M. Denton: Well, hey, Alvin, this is Dave. As you well know, when we implement a new client, typically, we implement that at very thin margins and then we work to sell in our programs and drive substantial value for that client over the long term. And typically, you see our margins enhanced over that. As I think you know, and we discussed it earlier today, we've been very disciplined in our pricing. We have historically had very high retention rates, but our retention rates haven't been at 100%, indicating that we've been focused on underwriting each client at the appropriate return on investment, looking both to the short term but, more importantly, to the long term in our relationship with that client.
Alvin Caezar Concepcion: Thanks. And just a follow-up about Maintenance Choice 3.0, I'm just wondering if you could talk about progress there and consumer response and impacts you're seeing.
Jonathan C. Roberts: Yeah, this is Jon. So, again, we introduced Maintenance Choice 3.0 at our Client Forum. The reception was, again, very positive, and you really think about all the ways we can service now a member, and members define convenience in very different ways, from: some people like mail; some people want to go to retail. We now have drive-thrus. We have Curbside. And now, we'll have home delivery within one to two hours. And it's not only for the prescription, but it'll include front store products as well. And so we think that the flexibility, access, and convenience that we will be able to bring to the marketplace with Maintenance Choice 3.0 will, again, make what is a very attractive benefit even that much more attractive.
Alvin Caezar Concepcion: Great. Thank you very much.
Operator: Thank you. We'll get to our next question on the line from Eric Percher with Barclays. Please go right ahead.
Eric Percher: Thank you. I think an area we haven't focused much on is specialty and the role that specialty is playing in the coming selling season. I know there's been a lot of focus on Specialty Connect. We saw the EMD Serono report out, and a lot of focus there on data integration and managing medical alongside pharmacy. Could you speak to some of the areas where you've invested and what you're focused on within specialty this year?
Jonathan C. Roberts: Yeah, Eric. So this is Jon again. We have a capability that is fairly unique in the marketplace, and that's NovoLogix, which gives us the ability to manage the specialty spend under the medical benefit, which is, quite frankly, half of the specialty spend. So we're up to now over 60 million members being managed through this capability. And you combine that with what we're able to do on the pharmacy side of specialty through Specialty Connect, through our disease management program, where our nurses not only manage the member's specialty condition, but all their comorbidities, and we have a reach rate that's 13 times greater than a traditional disease management. So we think we have a comprehensive, complete solution for this marketplace. And it's a very high priority for our clients. And our capabilities and story resonate very well.
Eric Percher: Jon, what does that NovoLogix 60 million represent? I imagine that's not a full data set of all medical or can it be?
Jonathan C. Roberts: Yeah. We can manage all of the specialty under the medical spend. And it's a combination of prior authorization capabilities, repricing with some of the edits that you see on the pharmacy side that medical platforms aren't capable of managing, and also site of care. So it manages moving specialty from higher sites of care to lower cost sites of care
Larry J. Merlo: Eric, it's Larry. One of the things that we heard from the Client Forum last week, with a select group of clients, and it certainly warrants additional follow-up, but I think the lines are blurring more than ever in terms of the component of pharmacy that's going through the medical benefit and the complexities that that's creating for the health plan. And I think there is an opportunity, to pick up on what Jon was talking about, in terms of creating an even more robust and meaningful solution. That's something that we're going to be talking to those folks more about.
Jonathan C. Roberts: And, Eric, the last thing I would add is, as you know, there really hasn't been much control on the medical side because the medical platforms aren't capable of doing that. So this now allows us to begin to manage formularies on the medical side, which we think can bring value to the marketplace and the payors.
Eric Percher: Well, thank you for that, and I'll extend my congrats to Nancy and Mike. Thank you.
Nancy R. Christal: Thanks.
Operator: Thank you very much. We'll get to our next question on the line from Mohan Naidu with Oppenheimer & Company. Please go right ahead.
Mohan Naidu: Thanks a lot for taking my questions. Maybe, Larry, you commented about engaging patients more actively. Can you talk about the role MinuteClinics can play there and perhaps any opportunities to expand your services in the clinics to maybe increase the foot traffic and also offer more services for patients?
Larry J. Merlo: Yeah, Mohan. I think if you go back in probably, I'm going to say, over the last two years, as a result of rolling out the [FATHR], (71:26) we have broadened our scope of services. I think we now have over 30 of the top 50 acute conditions with which we're now seeing patients. And I think one of the things that I think is probably an even bigger opportunity is we've established these relationships with some leading health institutions. Some of those institutions are getting into care management in a bigger way. And the opportunity to triage patients back and forth, I think, in the form of chronic care management, I think is a big opportunity. We've talked about some examples of that over the last few months, the VA being one, as an example. So, I think there's more opportunities there. I think as technology continues to move forward, that also may be a conduit for expanding the scope of practice there as well.
Mohan Naidu: Okay. Any thoughts on perhaps adding like labs or leases or anything like that clinics?
Larry J. Merlo: Yes. We do. As you think about labs, we do some of that today in the form of point-of-care testing. And I think that's an area that we continue to monitor with technology always changing in that space.
Mohan Naidu: Okay. Thanks, Larry.
Larry J. Merlo: Thanks. All right, we'll take two more questions, please.
Operator: Certainly. And we'll take our next question from the line of Brian Tanquilut with Jefferies. Please go right ahead.
Brian Gil Tanquilut: Hey. Good morning, guys. Just to follow up on the questions on specialty and piggybacking on your comments earlier about maintaining pricing discipline and trying to think about growth going forward, so as we look at the FEP specialty contract loss that's upcoming in 2018 and what Prime is doing in the market, I mean, how do you look at the competitive dynamics that they bring to market in terms of the risk that they would try to shake it up and win more business? How do we get confidence that this is a one-off rather than a possible trend in terms of pricing and just the competitive nature, specifically on the specialty side or even the PBO side?
Larry J. Merlo: Well, Brian, listen, as you look at Prime, obviously, they're a well-respected competitor. And we would describe them as competing effectively for business, particularly in the Blues plans. And I think as you know, FEP has a very important relationship with the Blues plans in which their members exist. And that said, it does remain to be seen how attractive their model will be outside of the Blues plans which, I think as you're probably aware of, make up the vast majority of their membership today. Listen, we continue to believe that the alignment and the integrated model that we have continues to give us an advantage in the marketplace. And going back to the FEP contract, we retained the clinical elements associated with managing the specialty patients, which I think is evidence of the integration of our model and the value that that brings for clients.
Brian Gil Tanquilut: I appreciate that. And then just a follow-up on the store closings, how much runway do you think you have left in terms of just the number of stores that are out in the market that you could close down or just a cost opportunity, if you're willing to size that?
David M. Denton: Yeah, this is Dave. I think our store base, we've been pretty disciplined over the past decade or so in building out our stores. I don't think we have a big store rationalization effort underway, absent I'll say just trimming what we did this year.
Brian Gil Tanquilut: All right. Got it. Thank you, guys.
David M. Denton: Take care.
Operator: Thank you very much. And we'll proceed with our final question on the line from John Heinbockel from Guggenheim. Please go right ahead.
John Heinbockel: I'll add my congratulations to Nancy and Mike as well, here at the end. And so, Larry, two things; when you think about how difficult the pharmacy business is for those without scale, and I think you just picked up some pharmacies from Marsh, what's sort of the prognosis, do you think, for doing more of that, whether it's a small player like that or someone bigger, like Target? It would almost seem like that's something that would have to happen over time if some of these retailers are going to preserve economics in that business.
Helena B. Foulkes: I'll start. This is Helena. We continue to look in the marketplace and see opportunities, to your point, just given the pressure in the business. And I would say historically, we would look at smaller players and think about buying their files or opening up a new CVS. And I'd say a recent change in strategy is probably to be a little bit more aggressive around looking for those opportunities. But as well, I think I might have mentioned before, we're looking at more buy-and-operate opportunities, where we can go into a marketplace with a small-scale player who serves a great set of customers – we don't have a CVS nearby, and it allows us to then serve a whole new group of customers, which is not just a retail play but obviously, a PBM opportunity for us to serve these new customers. And for us, ultimately, it's about taking advantage of scale and all these integrated capabilities that we have. So we're thinking very differently, both in terms of how the other players in the industry are reacting to the pressure, but also about building our integrated model as a result.
John Heinbockel: Do think some of the larger guys are rethinking the need to own that pharmacy relationship, or no? Because I think that's been the hindrance for some of them in getting out of it, right? They want to continue to own that relationship.
Larry J. Merlo: Yeah, John, it's Larry. Listen, it's hard to answer that question with a broad brush. I do think that for some of the reasons that you heard Jon talk about in terms of how network constructs evolve with not just price as the variable, but price and clinical capabilities, I do think that that could be the triggering point that gets people to look at things differently because, obviously, a grocer has a different value proposition or a different lens in terms of the role that pharmacy plays. And if all of a sudden, they're on the outside looking in, I think that that may change how they view what's important.
John Heinbockel: Okay. Thank you.
Larry J. Merlo: All right, thanks, John, and let me just take a minute to thank everybody again for your time this morning. And if you have any follow-up questions, Nancy and Mike are available. So thanks, everyone.
Operator: Thank you very much. Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask you to disconnect your lines. Have a good day, everyone.